Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2025 Earnings Conference Call for Venus Concept Inc. [Operator Instructions] Please note that this conference call is being recorded and that the recording will be available on the company's website for replay. Before we begin, I would like to remind everyone that our remarks and responses to your questions today may contain forward- looking statements that are based on the current expectations of management and involve inherent risks and uncertainties that could cause actual results to differ materially from those indicated, including those identified in the Risk Factors section of our most recent annual report on Form 10-K filed with the Securities and Exchange Commission. Such factors may be updated from time to time in our filings with the SEC, which are available on our website. We undertake no obligation to publicly update or revise our forward- looking statements as a result of new information, future events or otherwise. This call will also include references to certain financial measures that are not calculated in accordance with generally accepted accounting principles or GAAP. We generally refer to these as non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to the most comparable measures calculated and presented in accordance with GAAP are available in our earnings press release issued today on the Investor Relations portion of our website. I would now like to turn the call over to Mr. Rajiv De Silva, Chief Executive Officer of Venus Concept. Please go ahead, sir.
Rajiv Kanishka Liyanaarchchie De Silva: Thank you, operator, and welcome, everyone, to Venus Concept's Second Quarter 2025 Earnings Conference Call. I'm joined on the call today by our Chief Financial Officer, Domenic Della Penna. Let me start with an agenda of what we will cover during our prepared remarks. I will begin with a brief review of our second quarter results and operating developments in the recent months. Following that, Domenic will provide you with an in-depth review of our second quarter financial results as well as an update on our balance sheet and financial condition. With that agenda in mind, let's get started. As detailed in our press release issued today, we delivered 15% growth on a quarter-over-quarter basis in Q2, driven by strong execution from the team in a continued challenging environment. Importantly, the sequential growth performance in the second quarter was consistent with the expectations outlined on our first quarter call. Sequential growth was driven by mid-teens growth in both the U.S. and international markets and was fueled primarily by 20% growth in total systems and subscription revenue. Second quarter revenue declined 5% on a year-over-year basis, driven by a 5% growth in sales to U.S. customers, offset by an 18% decline in international sales compared to the second quarter of 2024. Notably, year-over-year growth in the U.S. was primarily driven by double-digit growth in total systems and subscription revenue with cash system sales increasing 23% year-over-year in that period. The company views the year-over-year results as a potential sign of revenue stabilization. The global capital equipment environment continues to present a level of uncertainty as to the timing and pace of new systems adoption across the aesthetic sector as a whole. Customer financing pressures, economic uncertainty, high interest rates, tighter credit markets and uncertainty related to proposed tariffs continue to impact customer system adoption throughout our business. While we are seeing these macro dynamics impacting adoption trends in the U.S., our international business is particularly exposed to macroeconomic headwinds, including tariffs related to impacts to distributor demand. Despite the more challenged operating environment, we are encouraged by the team's continued focus on customer engagement and support as well as improving sales efficiency by prioritizing core products in the U.S., including Bliss MAX, Versa Pro and Viva MD. The team also remains highly focused on our strategic priority to transition the company to higher quality cash revenues. Cash system sales in the U.S. represented 65% of total U.S. system sales in the second quarter compared to 58% last year. We continue to believe that our efforts to reposition the business to prioritize cash system sales is the right strategy to enhance the company's long-term profitability profile. That said, we are also pleased to have the optionality provided by our Venous Prime program to support system adoption to high- quality customers in a thoughtful and strategic manner. Before I turn the call over to Domenic, I wanted to review an important strategic announcement we made in June. On June 6, we announced a definitive agreement to sell the Venous Hair business to MHG Co. Ltd, or Meta Health Group in an all-cash transaction valued at $20 million. This transaction represents the first outcome of our evaluation of strategic alternatives to maximize shareholder value. Importantly, we believe this transaction strengthens Venous Concept by allowing us to focus on our global medical aesthetics business, which we expect will improve revenue growth, lower operating expenses, enhance the cash flow profile of the business and accelerate the path to long-term sustainable profitability and growth. Meta Healthcare Group was established in 2011 and is -- 2021 and is headquartered in Seoul, South Korea. Meta Healthcare Group operates as a holding company that develops and manages top-tier clinic brands across various aesthetic medical fields. We believe that they are an ideal acquirer of the Venus Hair business given their capabilities in the aesthetic medical field, including a presence in the hair transplant market as well as the strategic investments in next-generation medical industries, including medical AI, medical robotics and R&D that drive innovation in health care technology. We are committed to ensuring a smooth transition for our employees, customers and other stakeholders and are confident Meta Healthcare Group will provide the strategic investment and resources needed to maximize the global addressable markets for the ARTAS and NeoGraft technologies. The transaction is expected to close in the third quarter of 2025, subject to the satisfaction or waiver of certain closing conditions, including an internal reorganization of the Hair business into Meta Robotics LLC. In closing, we delivered solid sequential growth in Q2 and significantly improved our year-over-year decline despite a continued challenging capital equipment environment. We made material progress towards improving our balance sheet and financial condition, which Domenic will review in detail shortly. We announced a significant strategic transaction with the sale of the Venous Hair business, which strengthens Venous Concept by allowing us to focus on our global medical aesthetics business and the proceeds from which will further enhance our balance sheet and financial condition and provide valuable capital to fund strategic growth initiatives. Our priority remains on ensuring that we are as well positioned as possible to return to growth. We are actively working on evolving our portfolio and look forward to launching our next body device by early 2026. We believe that the increase of GLP-1 usage by consumers is an exciting catalyst for the industry and a chance of Venous to highlight the complementary benefits of our body technology, specifically skin tightening to our customers that are on weight loss medications. We are managing our cash burn through disciplined cost management and making targeted investments to support our long-term growth. We also intend to continue the ongoing evaluation of strategic alternatives to maximize shareholder value. With that, let me turn the call over to Domenic for a review of our second quarter financial results and balance sheet. Domenic?
Domenic Della Penna: Thanks, Rajiv. For the avoidance of doubt, unless otherwise noted, my prepared remarks will focus on the company's reported results for the second quarter of 2025 on a GAAP basis and all growth-related items are on a year-over-year basis. We reported total revenue of $15.7 million, down $0.9 million or 5% year-over-year. The decrease in total revenue by region was driven by an 18% decrease year-over-year in international revenue, offset partially by a 5% increase year-over-year in United States revenue. The year-over-year decrease in total revenue by product category was driven by a 4% increase in lease systems revenue, offset by an 8% decrease in products systems revenue, an 8% decrease in products other revenue and a 24% decrease in services revenue. The percentage of total systems revenue derived from the company's internal lease program, Venus Prime, and our legacy subscription model was approximately 37% in the second quarter of 2025 compared to 34% in the prior year period. Turning to a review of our second quarter financial results across the rest of the P&L. Gross profit decreased $2.4 million or 20% to $9.4 million compared to the second quarter of 2024. The decrease in gross profit is primarily attributable to the effects of customer uncertainty about economic stability, tighter third-party lending practices which negatively impacted capital equipment sales and a decrease in revenue in our international markets driven by the exit from unprofitable direct markets as well as the uncertainty created by international tariffs, actions and threats. To a lesser extent, gross profit declines were also impacted by supply disruptions caused by the Israel-Iran conflict impacting production at our contract manufacturer's facility in Israel. Gross margin was 60.1% of revenue compared to 71.5% of revenue for the second quarter of 2024. The decrease in gross margin is primarily attributable to the supply disruptions noted above, resulting in an adverse sales mix due to the shortages of higher-margin devices and to a lesser extent, higher device system cost of goods sold tracing to manufacturing overheads spread over a lower volume base. The total operating expenses increased $1 million or 6% to $18.5 million. Total operating expenses increased to $0.2 million or 1% on a quarter-over-quarter basis. The modest increase in operating expense reflects our continued progress in cost containment and streamlining of our operations. GAAP operating loss was $9.0 million compared to $5.6 million in the second quarter of 2024. Net interest and other expenses were $2.5 million compared to $14.1 million in the second quarter of 2024. The year-over-year change in net interest and other expenses was driven by a $1.9 million noncash loss on debt extinguishment compared to $10.9 million last year, a noncash foreign exchange gain of $0.5 million compared to a noncash loss of $0.8 million last year, and lower interest expense on outstanding borrowings, which totaled $1.2 million in the second quarter compared to $2.5 million last year, buoyed by our progress on debt extinguishment. Net loss attributable to stockholders for the second quarter of 2025 of $11.7 million or $8.03 per share compared to net loss of $20.0 million or $30.93 per share for the second quarter of 2024. Weighted average shares outstanding for the second quarter of 2025 and 2024 gives effect for the company's 1 for 11 reverse stock split effective March 3, 2025. Adjusted EBITDA loss for the second quarter of 2025 of $8.8 million compared to adjusted EBITDA loss of $4.1 million for the second quarter of 2024. As a reminder, we have provided a full reconciliation of our GAAP net loss to adjusted EBITDA loss in our earnings press release. Turning to the balance sheet. As of June 30, 2025, the company had cash and cash equivalents of $4.9 million and total debt obligations of approximately $34.3 million compared to $4.3 million and total debt obligations of approximately $39.7 million, respectively, as of December 31, 2024. We have made significant progress towards improving our balance sheet and financial condition over the first 6 months of 2025. We announced amendments with our primary lender, Madryn Asset Management, which increased our financing capacity under our existing bridge loan facility. We continue to appreciate the support of Madryn as we continue to enhance the financial profile of the business. We exchanged a total of $17.5 million of subordinated convertible notes held by affiliates of Madryn Asset Management LP or preferred stock, including $6.5 million exchange or 325,651 shares of its Series Y preferred stock in the second quarter, and we raised gross proceeds of $3.9 million in multiple equity capital markets transactions from existing and new investors. Lastly, with respect to our financial outlook for 2025, given the company's active dialogue with existing lenders and investors, ongoing evaluation of strategic alternatives with various interested parties to maximize shareholder value and current market conditions impacted by trade disruptions, the company is not providing full year 2025 financial guidance at this time. That concludes our prepared remarks. Given international travel conflicts, we are not hosting a live Q&A session this afternoon. Please direct all follow-up questions to our investor inquiries e-mail address ir.venousconcept.com. Thank you for your interest in Venous Concept.
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines or log off the webcast at this time, and enjoy the rest of your day.